Operator: Good morning and welcome to the Erie Indemnity Company Third Quarter 2017 Earnings Conference Call. I would like to introduce your host for today’s call, Scott Beilharz, Vice President of Investor Relations.
Scott Beilharz: Thank you, Glenda and welcome everyone. We appreciate you joining us for today’s discussion about our 2017 third quarter results. Joining me today are Tim NeCastro, President and Chief Executive Officer; Greg Gutting, Executive Vice President and Chief Financial Officer; and Sean McLaughlin, Executive Vice President and General Counsel. Our earnings release and financial supplement were issued yesterday afternoon after the market closed and are available within the Investor Relations section of our website, erieinsurance.com. We will start the call today with opening remarks from Tim and Greg and then we will open the call for your questions. Before we begin, I would like to remind everyone that today’s discussion may contain forward-looking remarks that reflect the company’s current views about future events. These remarks are based on assumptions subject to known and unexpected risks and uncertainties. These risks and uncertainties may cause results to differ materially from those described in these remarks. For information on important factors that may cause such differences, please see the Safe Harbor statements in our Form 10-Q filing with the SEC dated July 27, 2017 and in the related press release. This call is being recorded and recording is the property of Erie Indemnity Company. It may not be reproduced or rebroadcast by any other party without the prior written consent of Erie Indemnity Company. A replay will be available on our website today after 12:30 PM Eastern Time. Your participation on this call constitutes your consent to recording, its publication, webcast and broadcast and the use of your name, voice and comments by Erie Indemnity. If you do not agree with these terms, please disconnect at this time. With that, I will now turn the call over to Tim.
Tim NeCastro: Thank you, Scott. Good morning everyone and thank you for joining us. Yesterday we reported strong results for Indemnity Company. Slight gains net income for the quarter and year-to-date resulted in earnings per share of $3.15 for the first nine months of 2017. This is consistent with the result for the same period last year. And, our management margin remained strong as we exercise prudent expense management including our ongoing investments in technology. Top line growth was driven by a 6% increase in the direct and assumed premiums written by the exchange. We continue to outpace Corning’s industry forecast of 4.7% for 2017. Furthermore the top line growth was profitable growth. The exchange report of the combined ratio of 96% for the first nine months of 2017 affirming our underwriting discipline. In a minute Greg will give details on our financial results, but before I turn it over to him, I would like to offer my thoughts on the hurricanes [on mild fire] that have devastated so many recently. Although our territories were not directly impacted, the runner severe weather is already reminder for us. We are partners in the industry, vital to economic stability, and vital to those whose lives suddenly become vulnerable. I now speak on behalf of all of us in the ERIE family when I say our hearts and thoughts remain for those affected by this recent weather event. And, we are committed to continuing our monetary support of the web prost and their efforts to provide aid. Now I’ll turn it over to Greg to report on our result. Greg?
Greg Gutting: Thanks Tim, and good morning. As Tim pointed our 2017 third quarter and year-to-date results remain strong, given our thoughtful support for our agents and employees and our commitment to provide the tools for their success. In the quarter, net income was $59 million or $1.12 per diluted share compared to $57 million or $0.09 per diluted share in the third quarter of 2016. Year-to-date net income is flat at a $165 million for both 2017 and 2016 resulting in $3.15 per diluted for the first nine months of 2017 and $3.14 per diluted for the same period in 2016. Operating revenue in the quarter was up 5.8% to $442 million from $480 million. And, for the first nine months of 2017, operating revenue was up 6% to $1.3 billion compared to $1.2 billion for the first nine months of last year. Growth in the quarter and in the year reflect a steady increase in the direct and assumed premiums written by the exchange as both fall season and average premium policy continue in a positive direction in both personal and commercial line. Indemnity’s operating expenses increased $26 million or 7.6% in the third quarter of 2017 compared to the third quarter of last year. Year-to-date operating expenses increased $79 million or 8% compared to the first nine months of last year. If you recall that approximately that are approximately two-thirds of Indemnity’s operating expenses are commission based. Commissions increased $60 million in the third quarter of 2017 and $44 million for the first nine months of this year compared to the same respective period in 2016. The increase was primarily driven by increases in the direct and assumed premium written by the exchange, as well as increased incentive costs related to profitable growth. Non-commission expenses increased $9 million in the third quarter of 2017 and $35 million in the first nine months of 2017 compared to the same period in 2016. For both the third quarter and first nine months of 2017, primary drivers were increased cost in underwriting and policy processing, customer service, information technology, and administrative related. Well, the underwriting policy processing and customer service expenses are tied more directly to our increase in business. Overall expenses are in line with our expectation as we take deliberate action to deliver on our areas of strategic focus. You may recall that I told you last quarter that more of our expenses will align with Indemnity Company. As we upgrade our platforms and data capability. With that in mind we are very pleased with our strong operating margin. For the third quarter and year-to-date 2017 Indemnity’s gross margin was 18.3% and 17.9% respectively compared to 19.7% and 19.4% for the same period in 2016. Total investment income increased by $4 million in the third quarter of 2017 compared to the third quarter of 2016 an increase by $7 million for the first nine months of 2017 compared to the same period in 2016. The increased earnings in the quarter were driven by limited partnership return, while the increase for the first nine months was driven by increase net investment income, limited partnership returns, and realized capital gain. Finally our continued growth and profitability has enabled us to pay our shareholders dividend in the amount of $109 million in the first three quarters of 2017. And, now I’ll the call back over to Tim.
Tim NeCastro: Thank you, Greg. Now I’ll provide brief updates on some of the initiatives we are working, we continue to execute our strategic focus. As a reminder we’ve identified all broad areas that we believe support continue growth, well I’m sure we deliver on our promise for superior protection and service of the lowest possible cost. Continue to enhance the year experience, identifying and adopting new sources of revenue, improving, replacing and expanding our business platforms and uses of data and preparing for the challenges, but the future holds for our workforce and our agents, all areas we know present great opportunity. We continue our work in all of these spaces collectively and we are very pleased with our ongoing progress. Our efforts to foster easy doing business coupled with time saving efficiency and new coverage options are receiving high marks from our agents and our customer. In the third quarter, we’ve further expanded our commercial online quote and application system – greater functionality in our business insurance. This upgrade allows agents to quote a complete commercial account in real time by reducing the time it takes to get a quote from 2 days to 10 minutes. And, we intentionally align the introduction of two new business classes in our custom collections products simultaneously with this new functionality. This month we had a contractors and manufacturer industry, all for natural fit as we have experienced many years of profitability from these business classes. And, now our agents can quote these products with greater efficiency. Additional improvements are evident in our new claims platform. You may recall that over the last two years, we introduce ERIE claim center with functionality for worker’s compensation and personal auto, to set time we’ve incrementally added functionality for additional lines of business and in just a few days a final release will be complete for all lines of business. As we think about our products offerings and reflect on the evolving picture of customer needs. We are identifying new innovative coverage option that best build those needs. We continue to develop and test products emerging from the shared economy for example. I talked about what we are doing for our agents and our customers, but I will be remised if I didn’t mention our committed to employees, they are the heartbeat of this company and it’s our responsibility to provide them with the tool they need to succeed. We are taking a thoughtful look at the workforce of the future and engaging employees and agent in the conversation. The survey participation and internal workgroup session, they’re helping us proactively assess the workforce of the future, the workplace of the future, and the future of work. This assessment and the ensuing program will ensure that we’re well position to meet the needs of all stakeholders in a contemporary way. Before I end my remarks, let me acknowledge some recent recognition we received from J.D. Power and Associates. Thanks to the dedication of our team, here it remains in high satisfaction peer in the 2017 small commercial insurance study and it’s the highest rent insurer – renter’s insurance segment of 2017 home insurance study. And, just this week, J.D. power released the result of the 2017 auto claim satisfaction study. J.D. once again scored well above the industry average finishing third industry wide. We are very happy to earn these distinctions. We were also recently recognized for a leadership and engagement around diversity and inclusion. ERIE was among the top 25 companies recognized for the efforts of our employee resource groups and our diversity counsel. Our strong team approach robust in greater inclusiveness in our workplace has been very affective and providing us a variety of perspective that makes good business sense. We are both encouraged by and very grateful for the recognition we received from third-party, but we are not complacent. We recognized the need for additional investment and we remain committed the necessary technology improvements, data investment, and product update that we’ll keep theory the insurer of choice for our agents and customer, the employer of choice for our employee and the long-term investment of choice for you are shareholders. Thank you for your time this morning. And, now we would be happy to take your question.
Operator:
Scott Beilharz: Okay, Glenda, if there are no questions, I want to thank everyone for joining us. A recording of this call will be posted on our website erieinsuramce.com after 12:30 PM Eastern Time today. If you do have any questions, please call me at 814-870-7312. Thank you.
Tim NeCastro: Thanks everybody.
Operator: Ladies and gentlemen, thank you for participation in today’s conference. This does conclude today’s program and you may now disconnect. Everyone have a great day.